Analysts : Guy Moszkowski – Bank of America Merrill Lynch Glenn Schorr – UBS John McDonald – Sanford C. Bernstein & Co. Betsy Graseck – Morgan Stanley Michael Mayo – Calyon Securities (USA), Inc. Meredith Whitney – Meredith Whitney Advisory, LLC. Jason Goldberg – Barclays Capital David Trone – Fox-Pitt Kelton Moshe Orenbuch – Credit Suisse Nancy Bush – NAB Research William Tanona – Collins Stewart LLC David Konrad – Keefe, Bruyette & Woods Matthew Burnell – Wells Fargo Securities, Inc.Matt O’Conner – Deutsche Bank
Operator: Welcome to JPMorgan Chase third quarter 2009 earnings conference call. I will now turn the call over to Mike Cavanagh, CFO of JPMorgan Chase.
Michael J. Cavanagh : We’ll go through the usual slide presentation that’s available on the web. I’d just refer you to Slide 20 which gives the usual forward-looking comment disclaimers for reading at your own leisure. With that, let us get started on the overall results on Slide One. The highlights here, so we had $3.6 billion in net income in the quarter. That’s earnings per share of $0.82 on revenues of $28.8 billion. I won’t spend too much time where the results came from here because we’ll go through it business-by-business but obviously it was great strength in the investment bank and strong performance in the asset management, commercial banking and retail banking businesses as well as very strong results in our corporate investment portfolio. The backdrop again is credit cards remain elevated and you’re going to see that by line of business, various degrees of flattening and charge offs or slowing pace of increase but nonetheless continue to be at very high levels. We added $2 billion to the consumer credit reserves though to bring the total credit reserves to $31.5 billion which is obviously a very strong number both for the firm and each line of business; I’ll point that out as we go through. Overall, our reserve to loans for the firm of 5.3%. Capital, I’m very proud of the capital level of the company. Tier 1 common through the retention of those earnings growth to $100 billion to $101 with the Tier 1 common ratio then of 8.2% and Tier 1 capital ratio of 10.2%; obviously, very, very strong capital levels. Slide Two has everything I just described on it so I’m going to skip that and take us to Slide Three, the investment bank. Here let’s walk through the results in the investment bank. You can see the circled number, net income of $1.9 billion on revenues of a $7.5 billion for the business overall. I’ll just make one clarifying statement up front that a couple of the items that you all have been focused on in the past together had an immaterial impact on the overall profits, the combination of two items, one is the tightening of credit spreads. Spreads on JPMorgan’s name and counterparty credit spreads [DVA/CVA] as it’s known netted together for a modest negative. Then, we had gains of approximately $400 million, mostly realized on those legacy leverage lending and mortgage positions, mostly leveraged loans. Putting that aside, let’s just move through the underlying real dynamics of the business so investment banking fee line $1.7 billion, up a bit year-over-year and obviously off some from the record quarter that we had last quarter, second quarter where we booked something like $2.2 billion of investment banking fees. We’ve maintained the number one year-to-date rankings across all the major capital rating categories so the investment banking franchise is doing quite well and continues to do so. The fixed income markets line, revenues of $5 billion and that obviously has those gains on leveraged loans that I talked about bringing the total value of leveraged loans now carried on the books down to market value of $2.2 billion or carried at about less than $0.40 on the dollar. That’s a 26% reduction from last quarter so we’re likely to not be talking about that anymore from this stage. Then, strong performance across most of the other products really in the fixed income markets area. Equity markets, a similar story, $941 million worth of revenues in equity markets. Particular strength ongoing in the prime services segment there. The last thing I’ll comment on in the investment bank is credit costs. You see credit cost of $379 million over on the left and the explanation there is that is charge offs of $750 million partially offset by release in allowance related to particular loans that got marked down in the quarter for which we previously held our marks in the form of reserves so that’s just a geography swing leaving us with well marked on a net basis between reserves and marks on those loans. But, that was a release of $371 to get you to the $379 net number. Overall though leaves us with 8.44% at the end of the quarter of reserved to loans there. Moving on to retail financial services on the next Slide, some of the drivers here the top half of the page is the deposit taking side, the retail bank. Here as we said, I’ll just point you to the circled number average deposits $339.6 billion up obviously versus the year ago given Washington Mutual transactions this time a year ago and declined as expected by about $8 billion from last quarter as we let high cost Washington Mutual one year CDs are rolling off mostly in the third and the fourth quarter coming up. Everything else in the branch production side we’d say we still have underlying good growth in the retail banking franchise inclusive of WaMu and away from WaMu as well and the WaMu integration continues to go quite well with the last conversion happening in a couple of weeks here. So everything healthy and on track in the retail bank. Consumer lending side, down at the bottom of the page total firm wide originations and renewals of credit totaled about $140 billion in the quarter and $46 billion of that is what you see down at the bottom of this page in the retail side. That’s $37 billion or so of mortgage loan originations, about flat year-over-year and down a bit quarter-over-quarter. Remember the real dynamic in that business is our exit of the broker channel in the past 12 months helping drive some of those numbers replaced by activities more directly originated by ourselves. Then next is auto originations, you see about $7 billion of auto originations. We’ve done well in terms of market share in that business in the prime side and particular strength this quarter with the cash for clunkers program. Moving on to the next Slide, Slide Five for the income statement for retail financial services, we’ll just take this in two pieces so if you see in the middle of the left hand side, the retail bank revenues of about $4.6 billion up substantially from a year ago given Washington Mutual in particular. We had profits of $1,043,000,000 in the quarter. So, a very profitable business in retail banking consistent and up a little bit from last quarter. Then, the other side of RFS is consumer lending at the bottom of the page and driven by the very high level of credit costs that I’ll go through in the next Slide of $3.8 billion which includes some additions, about $1.4 addition to loan loss reserves. We ended up having an after tax loss of about $1 billion in consumer lending. Moving to the Slide on the credit portfolios in home lending let me just talk through that for a second. Here Slide Six this is, I’ll just start on the upper left with some of the overall commentary here. As we said last quarter and then a month ago at a conference, we continue to see initial signs of stability in the early bucket delinquency trends we’re just not ready to declare that that is a sustained trend but it does continue to be what we actually observe. Another overall comment is that as far as the impact of foreclosure moratoriums, the trial mods which we have been very active in doing and just the overall extension of processing REO through the courts, those things are obviously having an effect on overall delinquency percentages and stats but I just wanted to make it clear that we’re doing everything we can to stay on top of the income statement recognizing losses through charge offs and adding to reserves without regard for the impact that those factors would be causing on the overall delinquency status. With that moving over to the left hand side you see the actual charge offs for the quarter in the circle there. That totals up to about $2.1 billion this quarter across these three portfolios down a touch from last quarter so charge offs themselves actually stable quarter-over-quarter but obviously at a very high level which is driving the business to the after tax losses we saw. On the right hand side then in the outlook, I won’t go through these piece-by-piece but its unchanged. Looking ahead to what we see we’re not changing any of these numbers and obviously whether we advance to these levels is going to be a function of whether some of the early bucket delinquency trends that we described continue or not. The final important point, on the purchase credit impaired loans we acquired from Washington Mutual will be about $150 billion or so that we wrote down by $30 billion through SOP 033 at the time we did the transaction. Overall, that portfolio is behaving in aggregate as we expected but we measure impairment at sub portfolio levels for purposes of accounting impairments and so as we look at the prime portfolio, not option ARMs just the prime mortgage portfolio we see some weakness. We obviously measure that in terms of expected life time losses on that portfolio and have added $1.1 billion. That is put on the books in the form of a loan loss reserve as opposed to an incremental mark so that is $1.4 billion of the $1.4 billion loan loss addition in RFS or in consumer lending in the quarter. With that moving on to card services on Slide Seven you see as expected and unfortunately our loss of $700 million in the quarter. That is fully driven by the continued elevated high credit cost in the quarter basically coming in consistent with what we talked about last quarter so the charge off rate on the legacy Chase portfolio as opposed to the run off WaMu subprime portfolio. Our Chase portfolio 9.41% charge off rate circled there down at the bottom on the left up from 8.97% last quarter trending towards the 10% plus or minus that we talked about last time for where we would head by the end of the year. I’ll get to outlook commentary in a minute and we bolstered reserves here by about $600 million. On the revenue side, the dynamics here, we continue to see end of period outstandings circled at $144 billion trending lower from the year ago and last quarter and that’s the factors that we’ve talked about before of backing away from balance transfer business on our part in the marketing side together with lower actual consumer spend on their cards, lower charge volumes as well as the charge offs all driving oustandings down which puts pressure on revenues. Then, the other piece is sales volume itself. You see circled $78.9 billion. Excluding balance transfers that number is down 6% so it’s down year-over-year but we think we’re actually holding our own and doing well in terms of share of spend that the overall market we believe is the factor driving the 6% year-over-year decline and that obviously factors in to the revenue side. So, that together with the credit cards gets you to the loss in the business. Obviously a high level of stress on the losses in the Washington Mutual portfolio and so losses in this business we expect to continue as we said through next year no different from what we’ve said before there. On the commercial banking business Slide Eight, here you see profits of $341 million up 9% year-over-year. Continued good dynamics in this business. Obviously, credit trends are up but revenues are up year-over-year largely due to the impact of Washington Mutual but at $1.5 billion that along with very good expense management gives us the earnings power to absorb a normalized credit environment. So, you see on the credit cost line total $355 million of credit costs, that’s on higher charge offs. You see circled down on the left 111 basis points of charge off rate for the business up year-over-year and quarter-over-quarter but consistent with what we’ve talked about. In this kind of economy these portfolios credit is going to normalize. We end the quarter at 3% reserve total to loans which we think is very well reserved for the business. Next on treasury security services, Slide Nine profits of $302 million which is down both year-over-year and quarter-over-quarter. Liability balances are down and assets under custody up a little bit versus the prior year. But, the revenue side down 8% with the bigger driver being declining revenues in the security service side, the custody and investor services business and that’s abating levels of activity in the securities lending business together with overall lower liability balances in that business. So, a disappointing revenue decline in WSS, TS down a little bit on the revenue side and that drives the overall profit number of about $300 million in the business. Asset management on Slide 10, net income here of $430 million up year-over-year 23% on revenues of $2.1 billion which are up 6% year-over-year and you can see the spread across the various businesses private bank, institutional and so forth really continued to do well in the business here. Assets under management $1.3 trillion, that is all the market level impacts on the business together with a nice positive inflow of $113 billion for the past year and continued in flows of about $34 billion in the past quarter. Investment growth performance continues to be strong and that of course is the necessary ingredient in this business so overall things continue to be doing well in the asset management business. Then lastly, on the income statement is the corporate segment. I’ll spend a minute on this page 11. Breaking it up in to the pieces you see in the box in the upper left, the net income box with net income of $88 million in private equity. That’s on revenues of $155 million, the first time we’ve had some positive valuations in private equity in a little while. The next line is important that’s corporate, that’s everything else inclusive of the treasury business and the corporate investment portfolio. Here obviously a very strong $1.3 billion of net income. A couple of pieces there that are noteworthy one is non-interest revenues of $900 million after tax and that is primarily related to creating gains in the investment portfolio. Think of that as positions we own that aren’t available for sale accounting. On those, we had a separate increase in the OCI account of about $3.7 billion after tax in the quarter but this is what runs through the P&L because it’s mark-to-market. That $900 million is obviously a very strong number in the quarter. Then, secondarily it’s the benefit of the net interest income on the larger AFS portfolio which is appropriate given where we are in the balance sheet demand from clients as well as the low interest rate environment. So, what I’ll say here is that obviously the $1.3 billion number is high here for the profits of corporate. We see that coming down to something more like $500 million plus or minus an after tax positive in the next quarter or two and beyond that it will drift lower to a more modest positive as we get to the middle and then through the end of next year. Of course a caveat that that is subject to the volatility of onetime items. But, that’s the dynamic of corporate. Capital on Slide 12 you see again what I said upfront, we have $101 billion of Tier 1 common capital that is $127 of Tier 1 capital up strongly versus last quarter and obviously for the point I made about the improvements in OCI tangible capital is up even more to the tune of $3.7 billion after tax improvement in the AFS portfolios which we still have. Capital ratio at 10.2% and 8.2% we think are very, very strong and on top of that obviously the great strength of the earnings power of the company and $31.5 billion of reserves. Let me now just wrap up the quarter and talk about outlook on Slide 13. To just make a few points, many of this is familiar to you but obviously in the investment bank we’re seeing great results in the markets businesses and we don’t know when but we would just make the point that revenues in the market side, fixed income and equities we would expect to normalize over time as conditions in the market and customer activity levels stabilized. We don’t know when but that’s just a point we would make about the strength of the results in the investment bank looking backwards over a very strong first three quarters of the year obviously. On the retail financial services side nothing different here we’ve covered this and its unchanged. Obviously, the consumer lending business will remain under pressure and a loss maker as long as credit costs remain at these kinds of levels. On the card services side let me just say that the outlook as we now look in to what we can see in the early part maybe the middle of 2010 we’d say Chase portfolios net charge offs of plus or minus 10.5% or so highly dependent after that on where unemployment and the economy goes. But, that’s as far as we can see. Just in terms of some noise in the numbers, there will be a swing between the fourth quarter and the first quarter as the payment holiday we did earlier in the year runs through the loss bucket so that will actually depress fourth quarter loss rates abnormally but to 9% plus or minus and we’ll get the other side of that in the first quarter of next year where it will be 11% plus or minus. But, the underlying dynamic is the advancing towards 10.5% as a true core number. WaMu, our losses as I said in the runoff portfolio, nothing different here trending higher and continued pressure on the levels of outstandings and charge volumes translates in to the picture that the card business as we said losses money for the foreseeable future on a quarterly basis. Commercial bank, nothing different on our commentary here. We expect credit to continue to weaken but we feel very strongly reserved and the business is positioned quite well and healthy. Unchanged commentary on treasury and security services and asset management. Private equity, we don’t know it will just be a volatile line. We have $6 billion of capital deployed that we hope to make a return on but we can’t predict quarterly results and corporate is as I just described $500 million plus or minus subject to onetime items in the next quarter at least maybe two. The final comment on outlook is obviously if the economy weakens from here we could need to do additional reserving. We’re likely to do additional reserving if the economy actually weakens from where we are currently running. So finishing the quarter just hitting quickly before we go to Q&A on a few key topics. On the capital planning side, just worth making the comment that obviously the 8.2% and 10.2% capital ratios are very strong. We think there’s a lot of dialog obviously out there about potential for changes in regulatory expectations in terms of capital and liquidity and our point would be that we feel very well prepared to handle whatever comes along on that score but the details obviously for all of us are to follow on that score. Then the dividend comment, no different than what I said a month ago at a conference which is that it’s a board decision and when we are confident that the economy doesn’t have another potential leg down in it which looks like in all likelihood a peaking and then a decline in our actual credit costs, charge offs coming down as well as external factors like peaking unemployment as an external factor that at that stage we would likely make a single significant move initially upping the dividend to something in the range of $0.75 to $1.00 per year from the $0.20 level we’re currently at. From that point forward we feel comfortable with our 30% to 40% payout rate of normalized type of earnings. If we’re lucky, that first significant move could come sometime in the early part of 2010 but that requires the economy to stabilize as we talked about earlier. Update on some of these consumer initiatives, obviously you saw us in some of the treasury department statements making significant stride in modifying mortgages. We think that’s the right thing to do and are actively engaged in 262,000 mortgages modified. It’s early days to tell how successful those actions will be. The only point I would make is it is not a delayed P&L impact for us. We are staying on top of it and like I said earlier the credit cost impact we believe of having the modification program at the level that it’s at. It’s still the right thing to do. On overdraft fees which again, we’re doing the right thing for the customers. We think given how they’re behaving and how usage of debit cards has evolved so it’s the right thing to do. It will cost us some money, we don’t really know and we don’t have final rules on the government on what they’re going to expect the industry to do but if nothing else were to change i.e. consumer behavior, which it likely will, we can see that could be something that could cost us up to $500 million plus or minus after tax in the retail business. But again, that’s a pretty simple number. We don’t have all the other impacts that likely come along to say that with any great degree of conviction. Finally, I’d just say that despite the challenging environment you’ve seen us be very active on the credit card product side. We think we have a great business. When you look out several years, despite the near term pressures, and our eye is on that prize so we are focused on delivering better and new products. We saw in terms of the new affluent card we rolled out in the quarter and the marketing behind that together with some new small business products then as well the blue print service to help our client manage their borrowings better that was highlighted in an ad in the papers today. So, we feel very good about our - just an example of how we’re staying focused on investing in all our businesses despite again the challenging time and the earnings power of this place and the capital strength allows us to do that. With that, that is all I wanted to say up front. I’m sure there are questions you want to ask us beyond that so with that I’ll turn it over to Q&A.
Operator: (Operator Instructions) Your first question comes from Guy Moszkowski – Bank of America Merrill Lynch.
Guy Moszkowski – Bank of America Merrill Lynch: The first thing I wanted to do was just make sure that I kind of correctly balanced what I think was still a cautious tone on credit and reserve building in the press release, the comment by Jamie that we really haven’t seen whatever stabilization we have seen last long enough to become confident that it is lasting with on the other hand the comment that I think you might have made to the press this morning and forgive me if I didn’t get it right, that you still think that the end of the reserve building period is near. I just want to understand the thinking that goes in to all those comments.
Michael J. Cavanagh : I think the point is that subject to the economy stabilizing and these trends continuing, which we just don’t know, that is the point that if that were true we are getting near the end of reserve building. But, we don’t know and we have to remain cautious about what does happen from here and if things worsen we may need to do more reserve actions and that’s the message. It’s not really different from what we said last quarter actually.
Guy Moszkowski – Bank of America Merrill Lynch: In terms of the gains that you saw as you pointed out both through the P&L on the corporate side and the AOCI swing which was pretty significant, can you give us a sense for how much of that might have been actual realized gains?
Michael J. Cavanagh : The preponderance of it is unrealized Guy. Obviously there was a few hundred million of gains that were realized related to the AFS portfolio and the rest were unrealized values.
Guy Moszkowski – Bank of America Merrill Lynch: Then another question just on the WSS unit within treasury and security services that you referred to, I’m just wondering if you can give us a little bit more color on what is driving the contraction in those spreads there?
Michael J. Cavanagh : It’s largely customer activity levels and change in appetite on products but I think that’s one business where we’ll have to look and see how the rest of the industry performs when we see some other results to get a firm conclusion there.
Guy Moszkowski – Bank of America Merrill Lynch: One final question on cards, you note that the managed margin actually bumped up by I guess close to a percentage point to about 910 basis points. Are you still looking for the regulatory changes that kicked in to cost you ultimately about $500 million? I think that was the number that you had out.
Michael J. Cavanagh : Our last number was about $500 to $750 million after tax plus or minus obviously. Again, all other things staying the same which we just don’t know. It’s obviously hard to see given everything else that is going on in credit.
James Dimon : Let me just give you a little more on card. The card business is going through a substantial adjustment. We have visibility in to early losses next year so we know that we’re going to lose a lot of money next year in card and it could be north of $1 billion in both the first quarter and the second quarter and that number will probably only start coming down as you see unemployment and charge offs come down. The [UGap] stuff is static now so we think it will cost that kind of number but it really does relate to how everybody else in the marketplace reacts. You have to do a better job underwriting upfront and if you want to maintain your clients a better job I’m going to call it marketing the things such as rewards and services and things like that to grow the business. What we’re doing in the card business is we’re really looking past 2010 and we’ve asked the people in the card business to build new products, great new products, clear and simple marketing, to do away with competitor’s advantage. We have competitor advantage on the cost side, we think we have competitor advantage on the brand side, we have competitor advantage because of our retail distribution and we think we’re going to come out as a slightly smaller business because people are going to cut back credit in subprime and places that can’t manage the risk properly. But, we think it will be a great business coming out of that but you really won’t see the results of that until 2011 and 2012.
Operator: Your next question comes from Glenn Schorr – UBS.
Glenn Schorr – UBS: Mike, I’m curious about interest rate positioning and the thing that brought the question is if you look at your consolidated average balance sheet, the yield on your long term debt came down 51 basis points this quarter, it’s only 209 basis points. I’m just curious if we’re looking at a net yield or do you have a significant amount of floating rate debt? It’s $270 billion strong but it’s at an amazingly low number helping to support obviously the net interest margin so I’m just curious on how you’re positioned in this incredibly low rate environment?
Michael J. Cavanagh : You can follow up afterwards on the debt question. Generally looking ahead and holding aside the investment bank which obviously has its own dynamics which aren’t net interest margin related and what we do in the investment portfolio which is a deliberate decision about how we position the company which we’ve been open about, the rest of the businesses will run at relatively stable dollar margin spreads. Pressures being actual run off of some of the consumer portfolios and general stability in the rest of the portfolios on dollars and margin and close to the same in percentage terms. The overall company has a lot of other factors that go in to it but the real dynamics there typical run through the investment portfolio and the investment bank.
Glenn Schorr – UBS: You said you want to follow up on the long term debt one?
Michael J. Cavanagh : Yes.
Glenn Schorr – UBS: Maybe while we have Jamie there too, you both commented on some of the regulatory changes that are coming but I’m just curious on the ones that you might think could have the most impact because cards had a legitimate impact on how the business is managed but between the formation of the CFPA and the potential changes in the over the counter [inaudible], are those the two that are front and center given your comments on how you feel about your capital ratios already?
James Dimon : I think capital is a little different because your reading around the world people are talking about higher capital liquidity and market and risk and size and God knows what and changes in accounting and all that. We’re very well positioned for that, we’ve got plenty of capital. Remember now we have double the amount of Tier 1 common that was required in the [SCAB test and all that. But, you are right, the two main regulatory issues kind of front and center are derivatives and we really don’t know how it’s going to turn out. We hope it turns out in a rational way which is we’ve been a proponent of getting most of over the counter derivatives into the clearing house but we don’t think they should be forced in to an exchange and that there should be room for over the counter. You always read about that they don’t capital, that they’re not regulated and all of that is just untrue. Over the counter derivatives if you were doing it through a broker dealer which is regulated by the OCC and the Fed have capital and requirements and counterparty credit requirements and reporting requirements. We think it’s important that that business be allowed to exist so that you can service your customer properly. We don’t know how it’s going to turn out yet, it’s kind of flip flopping all over the place. If we’re all forced on an exchange yes, that can have a material impact on the business and on a lot of companies in America because that would change the way people have to do business in that area. The consumer financial protection agency again, everyone acts like that is a given, that it will happen some way. I wish it weren’t, I thought we had a chance to streamline, strengthen and simplify our spaghetti regulatory system and instead we’re making it more complicated and more litigious which over time I think will be more damaging to our country than not damaging. We are in favor of consumer protection, we just don’t think that’s the right way to do it. If you have to have a consumer protection agency, the most important one which will affect the long term health of the business will be if you have proper federal preemption of states. If you could draw a scenario where very state had its own rules and its own requirements and its own disclosures how are you going to run call centers, the disclosure forms for documents are going to be even longer and more confusing, litigation will be higher. Remember, all of that will be paid for by the customer so one of the great lies in this whole thing is that it won’t. Anything like that would be paid for by the customer. So, we don’t know how it’s going to turn out yet, we’ll see.
Glenn Schorr – UBS: Mike, maybe last question just a quickie, I know it’s also an involved question but could you comment on the impact of the falling dollar both on the balance sheet and the income statement side in the quarter was it much or do you run much of a hedge?
Michael J. Cavanagh : No, not a material thing so we can show you that if you want offline.
Operator: Your next question comes from John McDonald – Sanford C. Bernstein & Co.
John McDonald – Sanford C. Bernstein & Co.: It looks like you continued to buy securities this quarter. I just wondered if you could give us high level your kind of philosophy approach to building the securities book when loan growth for the industry is obviously not there and how you think about the rate risk associated with the growing investment book.
James Dimon : Remember growing your balance sheet and the investment portfolio is just another way of utilizing your capital and managing interest rate exposures and other exposures. But, it is true that over time you built up that portfolio we do it to make money. That’s what we’re here for, we are a profit enterprise. And, we do it to balance off other exposures. When you create deposits you have to buy longer term assets and things like that. Our interest rate exposure in a very simplistic way, and we do disclose this in the 10Q and I don’t know the number today but it is going to show that for 100 basis point onetime move in the curve it will cost us $1 billion. We don’t look at it in that simplistic way, we look at actually a whole bunch of different scenarios to make sure this company – in other words that would show that we have a mismatch of $100 billion and that’s really simplistic. We move that around pretty quickly so you shouldn’t assume that it’s going to stay in a position like that. But, we make other decisions whether we want to buy mortgages bases, what are the other scenarios we are protecting against, we don’t take a tremendous amount of risk. We did see an opportunity in the last six months to put on some assets at good spreads and the people in the investment office were allowed to go in to credit products and creating the product because we were being paid an awful lot of money to do it. Remember, that’s what we’re here for not just the simplistic. Mike said that that number over time will come down because the portfolio will come down and the capital will probably be used elsewhere. You don’t lose it all because your capital doesn’t go away, you take it to do something else so really it just depends on the decision you make going forward.
John McDonald – Sanford C. Bernstein & Co.: On the same kind of [inaudible] hedging the MSR as the bias on rates is up over the next few years does that same investment office has an integrated view about how you’re hedging the MSR?
James Dimon : The MSR as you know generally is short duration, short volatility and short to mortgage basis which is mortgage spreads against swaps or treasuries and the general premise is that you’re hedged against those things. Even when you’re hedged you’re going to have a lot of volatility because remember you’re hedging against a model so you’re always going to have some volatility. There are occasions when we use the MSR to take the position we want to take on mortgage basis, volatility or duration and the real question is what’s the cheapest way to do that. So, the folks in the investment office have the authority to do that if and when we think it is the best way to do it. But, for the most part, you’re going to be hedged in those three things.
Michael J. Cavanagh : And it is integrated with the rest of the view of the portfolio.
John McDonald – Sanford C. Bernstein & Co.: In card, any idea what the impact of payment holidays and other deferrals and modifications in card are having on delinquencies? And, is the payment holiday something that you would do again potentially?
James Dimon : No. We’re not going to do it again. I don’t think you’re really allowed to do it anymore and as Mike said it’s going to reduce the charge off rate by 50 or 75 basis points in the fourth quarter and increase it by 50 or 75 in the first quarter. Obviously we figured net present value positive we probably won’t do something like that again. A whole bunch of other numbers could affect it but we try to adjust for all that.
John McDonald – Sanford C. Bernstein & Co.: But beyond that there are other modification discussions and deferrals and reaging that’s going on in card.
James Dimon : It’s standard. Obviously, there’s more because you have more things in work out and more problems and the recovery rates are at 5% not 15% so there are other things happening in card. Card is having a tough time so like I said, we’re going to take this opportunity to build a great business.
John McDonald – Sanford C. Bernstein & Co.: Last question, on the WaMu CD run off Mike, should that help the net interest margin at some point going forward?
Michael J. Cavanagh : You did see it in that deposit margin which is on the retail Slide. A few basis point improvement as high cost stuff rolls off.
James Dimon : What was the average rate on those things, do you know?
Michael J. Cavanagh : 5%.
James Dimon : So they paid very high rates on those.
John McDonald – Sanford C. Bernstein & Co.: So that’s helping, and you print that, in your deposit margin?
Michael J. Cavanagh : Exactly.
John McDonald – Sanford C. Bernstein & Co.: Last question, on the cost savings for WaMu, where are you on your realization on that?
James Dimon : The WaMu cost savings?
Michael J. Cavanagh : Yes, we’re on track.
James Dimon : We’re almost exactly where we thought we would be.
Michael J. Cavanagh : And, it will all be done like I said, the final conversion and really those savings will be in the run rate as we exit this year.
Operator: Your next question comes from Betsy Graseck – Morgan Stanley.
Betsy Graseck – Morgan Stanley: A couple of questions, one on just the NSF changes that you made and just how you think through managing the business for that. I thought when you bought WaMu one of the opportunities was to raise the cross sell and as you were doing that you know NSF and things like that would come down. I’m not sure if you’re making these changes ahead of cross sell improving or if there’s another opportunity for you to morph the business line to get to the ROI that you were hoping with that change that you’re making.
James Dimon : I don’t get your question totally Betsy.
Betsy Graseck – Morgan Stanley: The basic question is NSF’s are coming down, right?
James Dimon : Right.
Betsy Graseck – Morgan Stanley: When you bought WaMu you had indicated that you had expected that you were going to be doing that given that California is a pretty high NSF market and that you were going to be making up for that ahead of time with cross sell increasing. I’m just wondering have you gotten to that cross sell piece, part or target that helps you reduce NSF?
James Dimon : Remember, one of the things when you do a merger is you also have to merge the product sets so you have a change in the products and how they are being used. We’ve also had a change in customers and how they’re actually used in the products and stuff like that so we’re seeing both those taking place in the WaMu branches. The cross sell is going kind of where we’d expect to do. We’re adding the people and the branches and the marketing and I think we’re kind of at the top of where we want.
Michael J. Cavanagh : With that conversions we’ll get the new products in so that’s on its track as it was with Bank of New York and Chase before that on the introducing other products and thinking of whatever happens on fee side is independent. But, we’re doing both the right way.
Betsy Graseck – Morgan Stanley: I mean the NSF changes that you’re making now should have an impact on the ROI in the business no? Or, are you going to have any offsets?
James Dimon : The real NSF changes that we’re going to be making that we announced will be sometime in the first quarter. We’re going to have opt in and a new set of products no more than three a day and a whole bunch of different things. The details are really being designed now and figure it as a first quarter item.
Betsy Graseck – Morgan Stanley: Are there any offsets to that in the business model?
James Dimon : I personally don’t think there will be a lot. Again, Mike gave you a static number $500 million plus or minus but it’s not static. How do customers really use things and if everyone else does it can you change your pricing a little bit so my guess is you’ll get back some of it but not all of it.
Betsy Graseck – Morgan Stanley: Did you test it before you came out with the numbers though? I would expect so, right?
James Dimon : No. We’re going to be testing some of that but the answer is no.
Betsy Graseck – Morgan Stanley: Warrants, just how do we think about that process and how that’s going to evolve?
Michael J. Cavanagh : It’s in the hands of the government so obviously we’re awaiting what they chose to do. I think they’re just trying to get their process nailed down to be a universal one and hopefully they get that rolled out publically soon. But, the ball is in their court.
James Dimon : That doesn’t affect our company at all.
Betsy Graseck – Morgan Stanley: Then just two other quick things, one on trust business, how do you think about the normalized range for the trust business? I know back a couple years back you had target ROAs and pre-tax margins for the different businesses and it seems like TFS is running way below what your goals had been.
James Dimon : I think our goal is exactly the same as it was before and I think we said we have a 35% margin.
Michael J. Cavanagh : Yes 30% to 35% pretax margin. We put some more capital in the business so on an ROE basis it’s a different ROE but pretax margin this quarter was 26%, 31% last so there’s nothing wrong with that kind of pretax margin target for the business over time Betsy.
Betsy Graseck – Morgan Stanley: You get there with what spreads normalizing?
Michael J. Cavanagh : That and growth.
Betsy Graseck – Morgan Stanley: Then just lastly on normalized outlook, normalized earnings for the overall company, how do you think through what your franchise should be generating over time? Well, we’re not going to give you a forecast. I think Mike was saying that the ID, we would expect on these levels on a normalized basis necessarily and that corporate line is going to come down from $1.3 billion to $800 to $500 overtime depending on what decisions we make. Card, we don’t know yet. We’ve seen a lot of the analysts do really good work on normalized earnings and they’re kind of all over the place but if you want to think ahead on the company a little bit with almost $32 billion in reserves, whether that number goes up a little bit or whatever, you know when things normalized and whether that is 2011 or 2012 it’s got to come down to $15 or $12 or $10. So, you know that you have that not because you have earnings – but you also know that these other businesses some will go from losing money to making money. So, the underlying earnings power of the company is very powerful and that’s what we try to build all the time. More branches, more bankers, more clients can drive that number in 2012.
Operator: Your next question comes from Michael Mayo – Calyon Securities (USA), Inc.
Michael Mayo – Calyon Securities (USA), Inc.: You mentioned the $500 million was it after tax or pretax? And, was that the total amount of your overdraft fees?
James Dimon : Well, it’s after tax and it’s just an estimate of what the changes might do and it’s a very static number and maybe we’ll try to give more information on it later but it’s just a very rough estimate because we know you’d all be asking.
Michael Mayo – Calyon Securities (USA), Inc.: That’s simply related to the overdraft fees?
James Dimon : It’s the changes in the policies in general, yes.
Michael Mayo – Calyon Securities (USA), Inc.: Loans were down about 5% linked quarter, 16% year-over-year, is that supply or demand? What are some of the ins and outs there?
Michael J. Cavanagh : So, consumer portfolios, you’ve got run off portfolios from Washington Mutual and credit cards and large ones in retail and obviously some tidying up of underwriting standards in those businesses generally. So, expect that the origination levels that for a period of time here we’re going to have downward pressure on those balances. We’re in the business of making loans against our underwriting standards today so it’s active supply meeting demand on that score. On the commercial side, commercial bank, you’ve seen a little bit further decline. If a loan balance is down a few billion to $102 or something like that this quarter and that’s a little bit of everything but it’s more demand, clearly. We see extended credit lines utilized at their lowest levels of all times so you could see a swing in those kind of numbers as soon as some confidence returns in our commercial clients and they have some use for that money.
Michael Mayo – Calyon Securities (USA), Inc.: Have you seen any pick up?
James Dimon : The investment bank, it’s all corporations going to the market and paying down their loans. So, the loans in the investment bank dropped from $90 billion to $50 billion over a year and that was probably more than we expected but, to be expected.
Michael Mayo – Calyon Securities (USA), Inc.: Can you give any more color on your trading which is a lot greater than I think a lot of people expected. Your trading revenues are kind of flattish linked quarter but your trading assets are down and [VAR] is down so is all your trading benefit through client flows or wider bid ask spreads or what’s going on there?
James Dimon : [VAR] is a good one point measure but part of [VAR] is going down because you started to drop off some of the more volatile time periods that were in the timed series. But, the trading was strong really across most areas, there’s a lot of client flow and spreads are still higher than they were at the bottom. So, they’re not nearly as high as they were after the crisis but they’re coming down a little bit. There is a lot of good client business and some good trading around them.
Michael Mayo – Calyon Securities (USA), Inc.: Then last question, this is the first phone call since you had to change the management of the investment bank and clearly your investment bank is doing well so the question is, is this a good time to change the management when everything seems to be going right?
James Dimon : I guess you don’t necessarily make or think or imagine changes that are going to be for the next five or 10 years because you think you’re having a good quarter or bad quarter or something like that. In fact, very often you get caught doing it at the wrong time, you can’t do it in a bad quarter, it won’t look right and you just try to figure out what’s the right thing to do for the growth and health of the company. I don’t think it relates at all to whether you’re having a good quarter, a good year or a bad one.
Operator: Your next question comes from Meredith Whitney – Meredith Whitney Advisory, LLC.
Meredith Whitney – Meredith Whitney Advisory, LLC.: I have two questions, my first is on the supplement page 16, it talks about some of the changes that you made in terms of your inputs for your valuation on your mortgage business. I wanted to know if you could give a little more color to what the inputs were, how things have changed? The last major change looks like it was made in the fourth quarter of 2008. How you see the housing market, it looks as though California might have turned down again?
James Dimon : So I guess the way I look at it is the model is always being adjusted so you’re always updating it for home prices, housing turnover, prepayment models and you do that at a very detailed level. You do it differently for 4.5% mortgages than you do for 5.5% or high or low LTV and stuff like that. That’s just updating constantly and sometimes those model changes all things equal have a benefit and sometimes all things equal have a negative.
Meredith Whitney – Meredith Whitney Advisory, LLC.: I appreciate how that’s constructed I just wanted to get more color from you. Is there anything in the US housing market that you see differently on a regional basis improving or not improving or is it rates driven?
James Dimon : No, I think it was lower housing turnover and lower prepayment rates. Remember, we also make judgments that some of those things will continue regardless of what’s in the model.
Meredith Whitney – Meredith Whitney Advisory, LLC.: Would you go one step further and comment on the California housing market?
James Dimon : You know the data as well as we do and we’ve seen again the numbers and of course you can always question them but half the markets in America of the major MSAs, you’ve seen a stabilization. In fact, a little bit of increase in the last couple of months, but call it a stabilization of home prices. That was more true for lower priced homes and higher priced homes but it also happened in places where prices are down dramatically and where prices weren’t down dramatically. Obviously, Florida is still bad, parts of California were actually seeing some improvement. We’ve seen that improvement in MSAs where foreclosures are a high percent of sales and we’ve seen it in MSAs were foreclosures aren’t as high a percentage of sales. So, I would agree with you, there is a lot of distortion in that number but all things being equal it’s a good fact not a bad fact.
Meredith Whitney – Meredith Whitney Advisory, LLC.: Then just one point of clarification, Mike when you talked about the commercial portfolio and the 111 basis points of charge offs I was unclear as to where you thought that was going to go. Is it stable at that level?
Michael J. Cavanagh : No, trending a little higher. So it’s the same message as we continue to see our reserves are probably good but you probably have continued pressure on charge offs.
James Dimon : One of the great things about that business, I’m going back to the old Bank One days when 60% or 70% of the revenues were loan related and now it’s more like 40% or maybe even less are related. Here we have a commercial bank that’s having a very good return in a very tough time. They’ve done a hell of a job controlling their credit losses and of course we know in tough environments they’re going to get worse but they’ve been far better than you might have expected even up to now in this type of environment.
Meredith Whitney – Meredith Whitney Advisory, LLC.: Well positioned too, right?
James Dimon : As you know, we’re very careful with commercial real estate so that’s $12 billion and the losses are 2.3%, we expect those to go up but we just don’t think they’re going to be a dramatic impact on our company.
Meredith Whitney – Meredith Whitney Advisory, LLC.: Would you comment more broadly then on my last question on timing of commercial real estate if it’s been waiting for [inaudible] when you think it effects the industry , if you have any derivative exposure meaning derivative to someone else’s real estate exposure and just comment more broadly on that.
James Dimon : Well, the derivative exposure, we have lending exposure as I just mentioned in the commercial bank. Obviously we have some in the investment bank but we wouldn’t put those in the material kind of category that makes us nervous. The values have already dropped and it’s going to be recognized over the next couple years in people’s P&Ls as people took conservative write downs and can’t refinance properties and stuff like that. So, we believe you’ll see several hundred additional smaller regional based banks not make it. There’s also going to be a lot of capital eventually going to be coming in to the real estate businesses as people try to recapitalized and buy properties at a good cap rate. It could be an opportunity for us not a negative over time.
Operator: Your next question comes from Jason Goldberg – Barclays Capital.
Jason Goldberg – Barclays Capital: I was hoping to just flesh out some comments in respect to delinquency trends in home lending. I guess can you kind of talk to stabilization? On Slide 17 in the slide deck it looks like all those lines are going up and I guess it could be that there are discrepancies between percentage delinquencies versus dollar delinquencies as portfolios come down so can you maybe talk to that? Also, if you can expand in terms of what impact foreclosure moratoriums and modifications are having on overall mortgage delinquencies.
Michael J. Cavanagh : Clearly on the overall 30 plus delinquencies that’s where you get the distortion as things stay in buckets longer so I won’t try and take that number down too much. You see that really in both of those buckets so in percentage terms on 17 you do see those effects rolling through. On a dollar basis it is stabilization that we’re seeing across those portfolios and again, it is portfolios coming down.
James Dimon : The stuff that is coming in the front end that is going bad for the first time that is where you’re seeing stabilization and the actual [inaudible] rates as those deteriorate over time. We try to adjust – on the delinquency side, we keep all mortgage modifications in delinquencies throughout the trial process and that’s actually driven up our delinquencies and not down and Mike you may remember what that number was. I’m going to say it was something like 20%.
Michael J. Cavanagh : 20% to 30% higher depending on the portfolio.
Jason Goldberg – Barclays Capital: You mentioned reserve releases in the investment bank, is that just attributable to mark ups in leveraged loans and flow through that line? I guess, just more clarification on that.
Michael J. Cavanagh : No, that’s in the total provisioning line we took $750 million worth of charge downs so carrying value of the loans written down by $750 million. But, on a loan by loan basis many of those loans entered the quarter already having reserves up against them so on a net to reserves basis they were already on average carried at say $0.60 on the dollar. So, it’s just a geography swing. On a hypothetical we like $0.60 on the dollar and we just have a charge off event so we charge the carrying value down by $0.40 and release the $0.40 of reserves that we had. That’s all running through the credit cost line, it’s a release of allowance for loan losses.
Jason Goldberg – Barclays Capital: Then just lastly and obviously [inaudible] market have been extremely wide and I am sure this quarter benefited from that but I guess it feels like it is maybe narrowing at this point. Can you just talk in terms of how that’s trended over the last six months and at what pace and kind of how that plays out?
James Dimon : Well, it’s different for every single product so it’s hard to say but if a benchmark was one before the crisis it got has high as six and it has come back to two. But, it is really different for every product and yes, one may have been low so it may never quite come back for one. And, the competitors are back which I think is a good thing for the industry so there is just much more competition today and people competing both for the flow and reducing spreads.
Operator: Your next question comes from David Trone – Fox-Pitt Kelton.
David Trone – Fox-Pitt Kelton: Guys, I don’t know if you’ve noticed but we’re starting to get the pay criticism thing really heating up in the press and I don’t suspect that it is necessarily going to go away as these bonus numbers kind of pile up through the quarters. How does this affect your thoughts on if there’s some more controversy and some more political pressure, how would that affect your discretionary decisions on pay as you head in to the final quarter of the year?
James Dimon : Let me just tote the big picture, if you look at what the FSA has spoken about for the financial stability board and we only get half of the fed, the fed or the treasury put out their own guidelines but most of those guidelines that are global if you look at the pay policies of JPMorgan Chase we already follow them. We don’t have parachutes for change of control or special severance packages. We already pay people a substantial amount of their compensation in deferred comp and stock or options. We already had a call back for what I’m going to call bad behavior and things like that. We’ve already asked the senior people at the company and the operating committee and the executive committee keep a lot of their stock that they ever get issued to them as long as they have their job so it becomes a substantial amount of shares over time. We’ve always looked at long term sustained performance realizing that the rising tide can rise all boats and the sinking tides can sink all boats. We’ve looked at the contribution people make to help build a great franchise at JPMorgan and that includes recruiting, how they treat clients, systems, not just financial results. We’ve maintained all those standards and we think we’ve done it right and fair and we’re going to continue doing what we’re doing. We think industries have to pay for performance over time and we’re committed to treating each individual, each individual properly.
David Trone – Fox-Pitt Kelton: I know you’re probably tired of this question but you have mentioned in the past that you have a preference, and correct me if I’m wrong, for share repurchases over dividends and you seem to go out of your way to mention the kind of dividend outlook and I didn’t hear anything about buy backs.
James Dimon : Let me just mention one thing about comp because it hasn’t been said, we also have called back the operating committee, we can call back for almost any reason from the operating committee members. On the dividend we just wanted to give clarity about dividend. Obviously shareholders relied on it. Going in to a bleak environment with the potential that it can get even worse, the first goal became to protect the company but once we’re convinced that that is gone we’re going to obviously want to reestablish the dividend. We’ve always said about stock buy backs is that is an opportunistic thing. We buy back what we think is cheap or it is the best thing to do with our capital and we’re not going to buy back when we think the stock is expensive or we have better uses for our capital. It will be unrelated to the dividend because the dividend is a very long term decision you should make for your shareholders.
Operator: Your next question comes from Moshe Orenbuch – Credit Suisse.
Moshe Orenbuch – Credit Suisse: I was wondering I know as we look at the overall numbers they can be a little bit confusing as to any pointing to the economic outlook but as you kind of get the data kind of first hand from people that are running the businesses that are dealing with smaller businesses, midsized businesses and consumers what does it tell you about the economic outlook?
James Dimon : Look, what we see – you actually all see pretty much what we see and there seems to be stability in the environment in terms of consumer spending, confidence, in terms of delinquencies, a little bit of improvement in home price, those area actually data and that could be forming the base of a recovery or not but we’re not going to spend a lot of time obsessing about that. The only thing I would say anecdotally which we do get very consistently now is that small business, middle market, large corporate, they are kind of poised and waiting to see that the recovery is taking hold because they do have plans, expansion plans and growth plans. So, to me it would be a good sign if that’s true because maybe people get a little bit more comfortable for taking a little bit more risk and making more investments in the future.
Moshe Orenbuch – Credit Suisse: Just somewhat related, you made a lot of announcements and new products in the card business recently, can you talk a little bit about how aggressive you’re willing to be from a competitive standpoint given the relative weakness of some of your competitors and are there other businesses you see where you could do the same sort of thing?
James Dimon : The first thing is to get our own model right and our own products and service and make sure we adjust to the new laws and things like that. But, if we think we have that right we could be very aggressive on the marketing side. We’re willing to make real investments in our business once we’re convinced that we’re building the right kind of business. Our marketing budget so far for 2010 in card is up by several hundred million, it’s not down. But, we will spend that money when we actually feel like we’re going to get a good return on it.
Moshe Orenbuch – Credit Suisse: Are there other businesses like that where you see a competitive opening here?
James Dimon : Almost every business is making investments. Investment bank is still making investments in Asia and prime broker and systems and commercial bank is building in the west coast, California, Atlanta, Washington, Florida because of the WaMu acquisition. Retail is still opening branches in [inaudible] in the branches. TFS is getting products, credit card is getting products, asset management is both getting products and getting bankers. Almost everywhere the underlying stuff that drive growth bankers, branches, systems, products, that we’re still doing and we’ve never stopped.
Operator: Your next question comes from Nancy Bush – NAB Research.
Nancy Bush – NAB Research: A couple of questions, on the loan loss reserve could you just clarify, if you build a reserve and find let’s say in 2010 or 2011 that you don’t need a substantial portion of it, will it be available to repatriate in to earnings because I’ve heard both views from various regulators?
James Dimon : The answer is under current accounting rules, yes.
Nancy Bush – NAB Research: Secondly, the mortgage mods could you tell us has the process smoothed at this point? What the pipeline looks like and how long do you think it’s going to be to get that pipeline fulfilled?
Michael J. Cavanagh : I think there’s just growing pains in these processes so we’ve obviously been very active in getting modifications started. It’s still early to see how effective people are in making their payments which is obviously one important thing but the other issue there is just people complying with all the terms of what is required under the government’s guidelines in terms of amounts and types of documentation before it can be declared so there’s still I’d call those growing pains in the process so it’s a little early to really say that it’s stabilized and worked through. A lot of energy going in to it, adding a lot of people to it, us and across the industry.
Nancy Bush – NAB Research: Mike, do you see this as something that is going to be permanent in the business? I mean, is this an emergency measure that two or three years from now will be over with or is this something that you guys are going to have to live with to some degree or another permanently?
Michael J. Cavanagh : I think the right way to look at it is it is so large, the problem in housing today, that we soon hope there’s nothing like this ever again. We’ve always had work out departments, the default department, the REO department, it’s just prime delinquencies are 10 times what you would have expected or losses 10 times what you would have expected in almost any environment. So, it will come down to a much more normal thing eventually and you’ll have delinquencies and charge offs and foreclosures that are just much smaller than they are today. They will probably never be this big again in our life time.
Nancy Bush – NAB Research: That sort of leads in to the final question, on the $1.1 billion addition to the allowance for prime mortgage in the purchased portfolio, in looking at that sub group was that mainly an unemployment issue, an underwriting issue, can you add any color to that?
Michael J. Cavanagh : It’s no different than the same factor that drove through from originally subprime in to our own prime portfolio causing dynamics that look the same in terms of weakness in prime. It’s home price declines and stress of unemployment even reaching up in to the prime segment to put stress on losses.
Operator: Your next question comes from William Tanona – Collins Stewart LLC.
William Tanona – Collins Stewart LLC: In regard to the $1.1 billion reserve build for the impaired loans is there any carryover to your owned portfolio where you haven’t changed your guidance? I guess I’m just really wondering what the difference is?
Michael J. Cavanagh : No, there’s no difference. Our guidance is I think $600 million of quarterly losses or whatever is on that slide for prime consistent with what we said before.
William Tanona – Collins Stewart LLC: No, I know it’s consistent I’m just wondering why there was a change in one and not in the other?
Michael J. Cavanagh : No particular explanation on that one, they’re just different portfolios and we’ve been watching them and standards of looking at them are a little different between the two.
William Tanona – Collins Stewart LLC: Then if you exclude the $1.1 billion which hopefully is totally non-recurring then your only other major reserve build was in the credit card portfolio so two things related to that number one, if the loan loss in the card portfolio is going to be down in the fourth quarter because of the holiday you mentioned and then up again next year is this reserve build now for next year so there shouldn’t be any further reserve building in the card portfolio? I guess I’m wondering how to think about those factors.
James Dimon : Again, it really relates is remember in general, I’m going to over simplify this, in general you’re forecasting forward based on assumptions what your losses are and that’s for 12 months or nine months plus the stress and that’s what your reserve is. So, the hope is that what you said is true but for that to be true you’re going to have to see a little bit of improvement in charge offs. If they stay where they are we don’t need to add reserves, if they start being better then reserves in effect you’ll have too much.
William Tanona – Collins Stewart LLC: So I guess where I was going was like there shouldn’t be much reserve building going forward because you’ve taken care of the cards going in to next year and the $1.1 billion is non-recurring.
James Dimon : We hope you’re right.
William Tanona – Collins Stewart LLC: Then the last question is related to the reserve, I think you said Jamie in an answer to an earlier questions, that the probably normalized charge offs are in the $12 to $15 billion area?
James Dimon : I was just saying that the $32 billion will come down a lot.
Michael J. Cavanagh : That’s reserves too. That’s the reserve level.
James Dimon : One of the criticisms of this whole thing is that a lot of the policies are all pro cyclical and no one was reserving. So, we went from $7 billion in reserves to $32 billion and it’s going to go way back down again. It should go back down again in a predictable thing once we start seeing improvements.
Michael J. Cavanagh : We don’t know where the level is going to bottom out at but we hope it’s less pro cyclical a regime once we get to that point in the cycle anyway.
William Tanona – Collins Stewart LLC: And you mentioned right now under current accounting you could bring it down, do you see any changes being talked about on the regulatory or accounting front that would change your ability to bring down the reserve?
James Dimon : Not really when it comes to loan losses reserve. If I was the regulators I would change loan loss reserving to not be so pro cyclical.
William Tanona – Collins Stewart LLC: Right, I think we would all like that but I’m just wondering –
James Dimon : And you all analyze and back out loan losses or additions and reductions and so would I so we’re not fooling anyone with these things so I hope there might be some more radical changes if they do it. If they do do it, it might very well lead to higher on average reserves.
Michael J. Cavanagh : With less volatility.
James Dimon : That would be fine with us.
Michael J. Cavanagh : Yeah.
Operator: Your next question comes from David Konrad – Keefe, Bruyette & Woods.
David Konrad – Keefe, Bruyette & Woods: Just a quick follow up question on mortgage banking, you had the negative revenue in the mortgage production line item, I just want a little more color if you could on rep and warranty reserve. I’m sure that’s what was impacting the number and any sort of gain on sale.
Michael J. Cavanagh : That was going back to the point of making sure we’re taking the P&L impact early of some of these problems. Getting our repurchase reserves fully caught up and consistent across our portfolios was a several hundred million impact that swallowed up the production revenues in the quarter. It won’t run at that high a level, the purchase reserve looking ahead, it will still be something though.
Operator: Your next question comes from Matthew Burnell – Wells Fargo Securities, Inc.
Matthew Burnell – Wells Fargo Securities, Inc.: Most of my questions have been asked and answered but let me ask an administrative question, what were your troubled debt restructurings at the end of the third quarter? I know you usually put those in your 10Q but I’m wondering if you have that information as of September 30th? And, if you do, what are your expectations for those balances going forward?
Michael J. Cavanagh : I believe it’s going to be flattish to where it was but you will see that in the Q. That’s a little bit of a function of you need more time for things to move in to that categorization, something like six months after the restructuring is on the books and performing then it will move. But, we can follow up with you offline on that one.
Operator: Your next question comes from Matt O’Conner – Deutsche Bank.
Matt O’Conner – Deutsche Bank: If we look out over the next year or so and we continue to get this rebound in the economy and the market, you’re going to have a combination of both very strong capital which you talked about with respect to dividends and buyback but also very, very strong liquidity. I guess I just wonder how you think about using those two from an offensive point of view because as we all think about normalized earnings many years out there’s a lot of stuff that’s going to happen between now and then so does that mean you’re going to have very strong loan growth at some point? Does it mean your deposit rates can be much lower than others because you just have so much liquidity, how do you think about that eventually working itself through the income statement over time?
Michael J. Cavanagh : It’s not different than anything that you’ve said already. We’ve long had a management philosophy of running a company across all these business that have very strong liquidity and very strong capital thinking of it as a strategic imperative. So, I’m not worried about where you could run your returns if you lightened up on that because we’re just not going to. We think we can always run these businesses for a good return with that kind of approach if we do everything else right with what kind of franchises we have. So really, what that translates to is to just the investments that Jamie referred to earlier, that advantage that we have is that we don’t get distracted and continue investing in growth across all of our businesses through thick and thin and when things are a little thin often it’s the best time. That’s why we were actively doing all the things to inject growth in to the existing businesses and hopefully see that in healthy growth when you go out two, three, five years across all these businesses. That’s where it translates in to P&L.
Matt O’Conner – Deutsche Bank: Then just separately on page 12 you reiterated the impact of consolidating off balance sheet assets would reduce your one capital by about 40 basis points. I guess one, has there been any talk about pushing that out or changing what the implementation would be and then two, if we continue to get credit stabilizing and improving is there an opportunity to use reserves that you currently have versus having to increase reserves which I think is driving most of that 40 basis point drag.
Michael J. Cavanagh : I think in terms of the FAS 166/167 stuff is expected January 1st of 2010. That’s when we expect it. Obviously, until that date is here the authorities there could decide to delay but that’s not our expectation. The point is for us it’s very manageable at these ratios.
Operator: There are no further questions at this time.
Michael J. Cavanagh : Thank you everybody. We appreciate you dialing in and we look forward to next quarter.
Operator: Thank you for participating in today’s conference. You may now disconnect.